Operator: Good afternoon, and welcome to GTI’s Q4 and Full Year 2018 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the conclusion of formal remarks. As a reminder, a live audio webcast of the call is available on the Investor Relations section of GTI’s website and will be archived for replay. I would like to remind everyone that today’s call is being recorded.  I will now turn the call over to Jennifer Dooley, Chief Strategy Officer. Please go ahead.
Jennifer Dooley: Thanks Mike. Good afternoon and welcome to GTI’s fourth quarter and full year 2018 earnings call. I am here today with Founder and CEO, Ben Kovler and Chief Financial Officer, Anthony Georgiadis. Today’s discussion and responses to questions may include forward-looking statements based on management assumptions. Actual results could differ materially from those anticipated and stated here today. Please refer to the earnings release in GTI’s SEDAR filings for risk factors, which may impact forward-looking statements made on this call. Throughout the discussion, GTI will refer to non-IFRS measures that do not have any standardized meaning prescribed by IFRS such as EBITDA and adjusted EBITDA, which is defined in the press release issued earlier today. Please note all financial information is provided in U.S. dollars unless otherwise indicated.  Thanks, everyone and now here is Ben.
Ben Kovler: Good afternoon and welcome to our fourth quarter and full year 2018 earnings conference call. It has been a solid quarter and big year for GTI as we execute on our mission to empower the right to wellness by progressing responsible adult use of cannabis. We are well on our way to leading the cannabis consumer biz industry by bringing to market an incredible portfolio of branded products and amazing retail experiences. This is made possible by disciplined capital allocation, methodical operational expansion and a commitment to people, both consumers across the country and our talented team, all in an effort to drive long-term shareholder value. Executing our strategy to distribute brands at scale is gaining strong momentum. We generated fourth quarter revenue of $21 million, up 21% from the third quarter and over 235% from the fourth quarter last year.  For the full year 2018, we reported revenues of $62.5 million, up about 280% from 2017. The business produced $12.4 million of adjusted EBITDA in the fourth quarter and $21.5 million of adjusted EBITDA for the year. This strong adjusted EBITDA was led by disciplined spending in our operating business and several strategic investments. As a reminder, uses of capital have bring strategic value to our core operating business and can create material shareholder value over time. Anthony will dig into that later.  All in all, we are proud of these results. On a pro forma basis, revenue for the fourth quarter exceeded $44 million. This includes revenue from M&A transactions that have closed and those that are currently pending.  Driving our business are two distinct paths of growth, our consumer products business and our retail business. Consistent with prior quarter, both business units continue to post strong results and in fact each tripled its revenue quarter-over-quarter and year-over-year. Our consumer products business is comprised of the production and distribution of a portfolio of diversified brands that target unique consumer segments and their needs.  The [Indiscernible] building long-term brand awareness is an authentic harness to the consumer and a pathway for the consumer to experience the brand. Our team is focused on putting the fundamentals in place to create real brand value as we expand production and distribution of our core brands, Rhythm, DogWalkers and the Feel Collection, as well as invest in new brand development.  At the close of 2018, our brands were produced, distributed and available at retail stores in four markets, Illinois, Maryland, Pennsylvania and Massachusetts. And subsequent to year end, we added brand distribution in Nevada and Florida.  The team continues to position the business for success as we optimize our brand portfolio, expand distribution and allocate capital to bolster consistent reliable supply of our branded products. Key priorities here are standardization and automation initiatives that will help scale our operations more efficiently.  In addition, we have several capacity expansion projects completed and underway as demand exceeds supply in our consumer products business.  Moving to RISE, our retail business, 2018 growth was driven by seven new store openings including two in Maryland, four in Pennsylvania, and one in Massachusetts to finish the year with 14 open stores. In addition, we are seeing strong quarter-over-quarter unit economic growth and this is driven by new user demand. These are new consumers interested in the benefits of cannabis and this is just the beginning. In our portfolio several of our markets are contemplating or in the process of a transition of medical to adult use, Massachusetts, Illinois, Connecticut, Pennsylvania, Maryland, New York and New Jersey. We are bullish about the opportunity ahead and are well underway for a methodical rollout of 15 to 20 new stores during the year.  The second quarter is going to be particularly busy with more than five new store openings across Ohio, Pennsylvania and Florida. In addition, we expect the conversion of RISE anniverse from medical to adult use in Massachusetts.  To start on 2019, we opened our first RISE store in Florida in the Deerfield Beach. It’s no surprise that last week’s addition of flower has increased demand as we saw the same thing happen in Pennsylvania last year. We have also worked with our partners in New York with two store openings with the third happening this week. At the same time, we are investing in the RISE brand which is recognized for delivering an incredible customer experience and first-class service and selection.  Overall, we delivered another consecutive quarter of solid performance across our two distinct but complementary consumer products and retail businesses, while at the same time positioning ourselves for the future.  Now, I will cover the major milestones we achieved in 2018. In June, we completed a successful RTO and raised nearly $250 million throughout the year. The capital markets in cannabis are extremely tricky, but we are pleased with where we are and believe we can continue to drive down the cost of capital for our shareholders.  Our narrative for the second half of the year is simple, execution. Executing on our inter-open scale and strategy to build market share and infrastructure to distribute brands of scale. And so how do we do? We began the year distributing our brands and operating our retail stores in three markets and ended 2018 with five markets generating revenue.  Today, through a combination of organic growth and strategic mergers and acquisitions, we are operationally in nine markets, all working towards our long established commitment to deliver best-in-class consumer products and people first retail experiences. Several big application wins drove organic scale and expansion.  Fundamentally, winning a license is one of the best ways to drive shareholder value. A year plus of hard work goes into these and I am extremely proud of the team for these wins in competitive markets. To break it down, supporting our consumer products business, we were awarded a cultivation license in Maryland, a processing license in Ohio and a cultivation and processing license in New Jersey. Those are big wins.  Adding to our retail business, we won five retail licenses in Ohio, twelve additional licenses in Pennsylvania including the Philadelphia and Pittsburgh areas, and a retail license in New Jersey. In addition, Integral Associates, our pending acquisition won eight additional retail licenses in Nevada, as well as a coveted license for a retail and consumption lounge in West Hollywood, California.  These are all highly competitive application processes. In New Jersey, for example, we were one of only six that were awarded a new license from a field of 146 of the nation’s best applicants. We were also busy growing the business with strategic M&A. Between regulations, counterparties and a dynamic marketplace, M&A in the cannabis space is hard. I am proud of what the team has accomplished and I will walk through some of these transactions.  Throughout 2018 and the beginning 2019, we closed the KW Ventures transaction which has secured three additional licenses in Pennsylvania. These are our Steelton, Carlyle and York locations. We successfully opened all three last year and they are all showing strong momentum. We’ve rolled in minority partners in Nevada and Pennsylvania solidifying our entry in the Florida, we signed and closed the acquisition of KSGNF, a transaction that took over six months from sign to close.  Last year, we signed a definitive for a license in New York and that transaction is currently pending regulatory approval and at the end of the year, we announced the acquisition of Integral Associates. That transaction remains in regulatory review and is making good progress. We still believe it will close in the first half of 2019 which should reflect in the P&L in t he third quarter.  Subsequent to 2018, we closed two more acquisitions in February, Advanced Grow Labs and For Success Holdings. Advanced Grow Labs is a leading operator in Connecticut. Connecticut is a medical market with approximately 30,000 patients and nine dispensaries and the state recently awarded nine more none of which have opened.  We believe the size of the market will continue to expand and like our position for brand distribution along with densely populated East Coast. AGL operates a state-of-the-art cultivation and manufacturing facility which is one of only four in the state. We also have a control units in one of the new nine stores, ours will be in Westport and we expect this store to open by early 2020.  We are very excited about the acquisition of For Success Holdings, owner of the Beboe brand which is a Los Angeles based luxury lifestyle product line. Aside from giving us entry into the California and Colorado markets, this builds exceptionally meaningful to our CTG business and the pursuit of building compelling brands and go to market strategies to serve a growing consumer base.  First, its visionary team has a long history in influencing contemporary brands and culture. Second, Beboe is a great bid for our brand strategy. It diversifies our portfolio in two key ways. One, it adds a luxury brand, and two, a CBD product line called Beboe therapy, a clean beauty portfolio of high home CBD skincare products which gives us differentiated entry into the CBD markets. As many of you know, the U.S. health and beauty category is a $90 billion market opportunity and is expected to see continued growth, in particular in the CBD and skin beauty segments. We are excited to lead the category with a compelling consumer proposition, supported by credibility in cannabis and we expect the core THC portfolio to benefit from this incredible mainstream market awareness. We are also proud of the omni-channel distribution approach that elevates how consumers shop and engage with cannabis. As an example, last month, Beboe launched in Beverly Hills at Barneys New York’s first ever cannabis health and wellness shop called The High End. This is a huge win for brand awareness and product distribution at a highly visible nationwide department store.  Similarly, Beboe Therapy will be available through ecommerce direct-to-consumer channels, as well as planned distribution in several high-end mainstream retailers. First we are selling Barneys and other High End retailers later this year, Beboe has gained significant market traction and we are excited about what’s to come.  But none of these accomplishments that we made in 2018 will be possible without a world-class team. We started 2018 with a 190 employees and ended the year with over 500. So a huge thank you to our people team that continues to do an incredible job identifying and onboarding great talents to lead and support our growth.  Recently, we expanded our leadership team to include General Counsel, Matt Miller who joined us from Groupon where he grew the legal practice to Groupon’s rapid start-up and scale. SVP of Marketing, Kate Denton who brings over fifteen years of experience building teams and leading some of America’s iconic brands in Kraft Foods and Pepsico and SVP of operations, Greg Flickinger who has over 25 years of experience in operations, supply chain, engineering and R&D from General Mills, Snyder's-Lance and most recently HEB.  We also strengthened our Board and overall corporate governance this year which is very important to us. Our current Board consisted outstanding independent directors who have diverse backgrounds and brings invaluable experience and perspectives to our company. Overall, we delivered solid results for 2018 and are excited about what’s ahead in 2019.  I believe we are still very much in the early innings and as such, we remain focused on executing our strategy to distribute brands at scale. We will continue to allocate capital for our brands, our retail experience, our infrastructure and our team to create real long-term sustainable value to our shareholders. We are proud to do and say we are going to do.  With that, I will hand the call over to Anthony. 
Anthony Georgiadis: Thanks, Ben. I will start off by reviewing the financial highlights for the quarter and for the year, then address our capital markets activity and current liquidity position before ending with our thoughts on 2019. Please note that all numbers are stated in U.S. dollars unless otherwise noted.  Revenue for the fourth quarter totaled $20.8 million, a 21% increase over the Q3 and a 237% increase over Q4 2017. For the year, we generated $52.5 million in total revenue versus $16.5 million a year ago representing solid top-line growth.  Fourth quarter revenue was generated from five of our license markets including Illinois, Nevada, Maryland, Pennsylvania and Massachusetts. Strong sales during the quarter was driven by both our wholesale and retail business units which contributed approximately 35% and 65% to net revenue respectively.  On a wholesale basis, fourth quarter revenue which consisted revenue from the cultivation and production of consumer package goods to third-party retailers from nearly 20% over Q3. This strong growth was driven by the opening of our Massachusetts wholesale facility, as well as steady growth in Maryland, Pennsylvania and Illinois.  It has been exciting to see these markets materialize consistent with our expectations. In aggregate, our wholesale business has grown over 200% since 2017 and what’s more exciting is that we are just getting started.  Turning to RISE, our retail business, revenue growth for the quarter was driven by strong unit economics and our stores that showed an approximate 20% increase in overall volume. This growth was driven by steady increase in consumer and patient demand across all markets. Our retail [Indiscernible] is a thing of beauty exhibiting hockey stick like qualities.  Before biological adjustments, the company generated Q4 gross profit of $9.7 million or 46.5% of revenue. This compares favorably to the $7.8 million of gross profit or 45.6% generated in Q3. On an annual basis, in 2018, the company generated gross profit of $28.5 million or 45.6% of revenue compared to $6.1 million or 36.8% in 2017.  This gross margin improvement was primarily driven by the additional operating scale we experienced from our revenue expansion.  Total operating expenses in Q4 including SG&A totaled $28 million. During the last 12 months, we have made significant investments in our team and operational infrastructure. Included in this figure is $12.6 million of stock-based compensation expense, approximately half of which was fourth quarter related and the other half in adjustment for pre-public activities.  In addition, our SG&A includes a $2.1 million in legal fees associated with M&A and other strategic initiatives. Our most valuable asset is our team and I expect us to continue with the stock-based compensation to recruit new talent as well as double down on incentivizing key team members.  For the full year 2018, total operating expenses were $60.3 million, which included $56.4 million in G&A. Included in the SG&A figure is approximately $21 million of RTO-related expenses and stock-based compensation.  Total other income for the quarter and year was $8.7 million and $51.6 million respectively. This non-operating income represents a net increase in asset value of our strategic investment portfolio. Our strategic investment portfolio consists of investments in a variety of other businesses within the industry and is a heavy jam on our balance sheet.  A good example of this is Beboe. Our team identified the company early in its lifecycle and made a strategic investment in the business. In October of last year, grew through a transaction with Canopy Growth creating a substantial gain of many multiples on our invested capital. Another example was our investment made in January 2018 that has yielded robust overall returns.  We continue to be excited about our other strategic investments and the potential upside. Including the company’s other income, as well as adjustments for non-controlling interest, we generated a net loss of $3.1 million in the quarter and $7.7 million net loss for the year.  For Q4, the company generated an EBITDA loss of $4.8 million. However, on an adjusted basis, after backing out non-controlling interest and stock-based comp, the company generated $12.4 million in EBITDA. For the year, we reported positive EBITDA and adjusted EBITDA of $27.7 million and $21.5 million respectively.  Please refer to the reconciliation of EBITDA on our financial statements for additional details. You will see we’ve also highlighted adjusted operating EBITDA to provide additional clarity.  In summary, what you will see there is an operating business at, number one has experienced tremendous growth, two, substantially invested in building its team and infrastructure, and three, throughout the quarter and year, drive material fruitful benefit from its strategic investment portfolio. Generating positive EBITDA during this rapid growth phase in the company’s lifecycle highlights our ability as capital allocators whose forward the company treasure.  With that, I’ll address the liquidity and balance sheet. Consistent with prior quarters, we maintained a strong balance sheet throughout the quarter. At the end of the year with a cash balance of $146 million and just over $7 million of debt. We continued to be selective, and deliberate in our capital allocation and are pleased with our ability to deliver substantial growth while maintaining a healthy and clean balance sheet.  From our perspective, cash is key and having little luxury around helps us sleep better at night. In addition, it gives us the powder to act quickly to take advantage of opportunities as they present themselves.  Looking back, we also established a track record for securing capital to fund our growth. During the quarter, we closed a bought deal transaction to raise $78.8 million. Including our RTO, we raised nearly $250 million since becoming a public company. As we look ahead to 2019, we anticipate to remain disciplined with our balance sheet as we uphold our longstanding principle of physical responsibility.  Our capital allocation will always be calculated and measured with shareholder value acting our north star. Turning to share count and float, as of today, 80 million of our shares are freely trading which represents close to 50% of our approximate of 170 million fully diluted share count.  Since our last conference call, we have increased our float by 3x as we have continued to release shares to our early investors with a goal of providing them with additional liquidity in our stock. We believe the liquidity brings confidence in the market.  Before I turn the call back to Ben for some final thoughts, I’d like to review our strategic priorities and expectations for 2019. To put it simply, this upcoming year is all about aid and teaching and to do that we will continue to stay true to our inter-open sales playbook by heavily investing in our retail and wholesale business units.  Our wholesale consumer product expansions are already underway in Pennsylvania, Illinois, Maryland, Florida, Massachusetts and Nevada. In addition to these, we are working hard to operationalize new wholesale facilities in New Jersey and Ohio.  On the retail store front, we have stores opened in essentially every one of our markets including Florida, Pennsylvania, Ohio, Massachusetts, New Jersey, New York, Nevada and California. That’s eight states with eight different set of rules, regulators and counterparties.  On top of everything I just mentioned, we will be focused on welcoming and integrating our new team members from Integral, Advanced Grow Labs, and Beboe into the GTI family. We could not be more excited by the year ahead of us.  With that, I will turn it back to Ben. 
Ben Kovler : Thanks, Anthony. We started the business in 2014 with a goal of giving people the right to wellness through cannabis products. We asked ourselves what would be our approach to this brand new industry and how would we ensure long-term sustainable value for our shareholders. First and foremost, we need a disciplined growth pace.  Second, we felt that targeting into the licensed markets would create scale and market share protection. Third, we believe that we can best optimize our supply chain by holding the brand as well as the retail environment. And fourth, brands issued with that scale with normalized cannabis use create consumer loyalty and drive pricing power.  And lastly and most importantly, investing in our people and communities is core to moving. I am happy to say that over the last five years, we believe this continued to serve as the foundation to our business and I can tell you that the momentum continues. First quarter revenue will show approximately 30% growth over the fourth quarter. The velocity is accelerating and we are excited about 2019.  I want to thank our team for all the hard work this year and our investors for your continued support.  Operator, let’s go to the questions. 
Operator: [Operator Instructions] And our first question comes from Vivian Azer from Cowen. 
Vivian Azer: Hi, good afternoon. 
Ben Kovler : Hey, Vivian. 
Vivian Azer: So, congrats on a really good quarter and thanks for the color on the sequential growth. I think that’s really helpful, in particular for people that cover the stock. I’ve got a couple of questions. The first is, kicking off on your consumer brand, so, Ben, you noted in your prepared remarks, you had kind of good distribution in four states for your three key brands and I am just curious two-part question, number one, can you size the brands against one another? And number two, are you seeing any of those brands have differentiated traction across the states? 
Ben Kovler : Yes, thanks for the question, Vivian. In our core brands, which probably makes up about 75% of the revenue, about half plus is Rhythm, DogWalkers which is more a single SKU pre-roll category is in the low double-digits and Feel Collection in a few others round that out. We are seeing real traction in several states on some of the brands as they holding on a consistent promise, a consistent product and a consistent field. So that’s going off. For example, Dog Walkers in Massachusetts is getting a lot of traction as the demand there on the adult news side picks up. 
Vivian Azer: That’s interesting. And just a follow-up on that, like any specific takeaways, I know Nevada is a little bit newer for you guys. Is Dog Walker there?
Ben Kovler : Slowly going out. The distribution just began in the last 30 days.
Vivian Azer: Okay, interesting. I certainly would expect that that brand would be good well in Nevada given that – the friendly nature of pre-roll. Okay, that’s great. My second question for you guys is the mix in terms of wholesales versus retail. I think very favorable from a margin perspective. How are you guys thinking about the evolution of that over time?
Ben Kovler : Yes, I think we said about 65-35 and as a reminder, that 35 is net wholesale. So product that we produce is much bigger than 35% of revenue because all the product we make and sell to ourselves would add to that. Over time, we see large-scale coming from the wholesale production. We are investing and Anthony mentioned several of those products we were scaling that business in quite a major way in the markets pretty inflection from medical to adult use. And so I think over time, you will see the mix of wholesale increase. 
Vivian Azer: Perfect. Last question from me and then I’ll turn back in the queue. Just any thoughts on New Jersey? Obviously, the evolution of kind of the regulatory discussion has been quite dynamic. So any updates there? 
Anthony Georgiadis: Sure, Vivian. This is Anthony. So, as I mentioned, we are working hard to operationalize our assets there. We have a cultivation facility and a dispensary in Paterson. We actually took this week, got our zoning approved we are working hard to get those assets up and running. And there is obviously a lot going on, on the adult news side with cannabis they have a vibrant medical market as well. So, we will focus on the things that we can control which is essentially just getting operational as soon as possible. We think it sets us well. For us, that’s easy, so, right now, it’s head down and get the facilities operational so we could start in that medical market. 
Vivian Azer: Super, helpful. Thanks. And just the – you feel a little bit, do you guys have the appetite to take out a crystal ball and given over under on adult news having in 2019?
Ben Kovler : No, my crystal ball is no better than yours. 
Vivian Azer: Fair enough. Thanks for the help. 
Ben Kovler : Sure. 
Operator: Your next question comes from Robert Fagan from GMP Securities. 
Robert Fagan : Thanks guys for taking the questions and congrats on the good quarter. Just wondering if you can provide any color for the Q4 revenues in terms of growth rates that you may have seen sequentially from Q3 on a state-by-state basis? 
Anthony Georgiadis: Hey, Robert, Anthony here. I think a few calls ago, we said that the way we look at our business is wholesale versus retail and so, we won’t provide any kind of state-by-state performance. And I can tell you that the growth rates across those businesses and all markets are strong. We are working hard to kind of build additional capacity on the wholesale side. And on the retail side, we are working with it to get stores as effectively up and running in every one of our markets today. So, the growth rates are strong. We are not providing guidance on a state-by-state level at this point in time. 
Robert Fagan : That’s no problem. I mean, I just thought I would try. Switching over to Massachusetts, we saw that you guys had achieved final licensing for your facility there and seem to have a store on the pipeline to open for recreational sales as well. Can you guys provide maybe some timing for when you expect to be able to access the direct channel from both a wholesale and retail perspective?
Ben Kovler : Sure, this is Ben. The Massachusetts regulatory environment is complicated and there is several steps in the process. On the wholesale side, we are approved for adult new sales and we are selling via the adult news channel. On the retail side, it’s a really two-step process of provisional and then an inspection and then a final and then inspection. We are midway through that process with the provisional approved and the adult news final license coming soon. We are comfortable saying we expect the medical to adult news conversion happening this quarter. 
Robert Fagan : Great. So, in Q2 in other words?
Ben Kovler : Yes. 
Robert Fagan : Excellent. Great. Great news. Next one is just kind of on the store rollouts. Thanks for the color of telling us about the five stores to be opened in Q2 across Ohio, PA and Florida I think. Any additional kind of insight can you give us for the other ten to fifteen stores for the rest of the year? And I guess, would those include jurisdictions like in Nevada, California or New Jersey?
Ben Kovler : Yes, it didn’t include just apples-to-apples, didn’t include the Nevada or California licenses that we haven’t closed on yet. That’s the core business. There is 15 to 20 more this year and I think we said more than five coming this quarter. And we just look at the stores that we don’t have opened. We are working in each one of the states. So, Ohio, Pennsylvania, Florida, but also working hard in New Jersey on the store there. Connecticut which we will be able to process as well as Massachusetts. 
Robert Fagan : Okay, so if I understand correctly, that would not include or the 10 to 15 additional stores beyond Q2 would not include licenses that you won in Nevada and/or Pennsylvania?
Ben Kovler : No, Pennsylvania is included in that. Both Tampa and Pennsylvania this year. 
Robert Fagan : Okay, thanks for that clarification. Last quick one and then I’ll get back in the queue is, on the impact you are seeing from the simplified access to medical cannabis in Illinois and the opioid replacement qualifying condition. Are we seeing significant lift in the market there? And are you guys happy with the progress?
Ben Kovler : Yes, good question. We are really seeing material lift in the market here. An interesting thing happened just for everybody in Illinois was the governor change, Governor Rauner to Governor Pritzker, the medical cannabis program expanded. So common sense solutions came to patients who are in pain and suffering where it went from a 120 day wait period to a day, 24 hours. And that’s where the material increase demand. The numbers are public and you can see that March over February, there was approximately a 25% growth in the market on the retail side. You could see it show up in the patient numbers and so it may not be patients coming exactly into the opioid replacement part of the program, but they are able to get a normal card in 24 or 48 hour turn and that’s generating real demand on the street and really helping a lot of people who are suffering from one condition or other. 
Robert Fagan : Great. Well, that seems quite promising. Thanks again guys. 
Ben Kovler : Thanks, Robert. 
Operator: Your next question comes from Russell Stanley from Beacon Securities.
Russell Stanley : Good afternoon everybody. 
Ben Kovler : Hey, Russ.
Russell Stanley : I might have missed it. I know you updated us on the expected closing of the York. But are you still expecting closing of the essence transaction this quarter as well? 
Ben Kovler : Yes. No change, in with the regulators and expected to close first half of 2019 which only in the next 90 days. 
Russell Stanley : Excellent. And just to – I guess, follow-on an earlier question with retail licenses, that business won last December do you have any color on your plant build out there?
Ben Kovler : A lot of work on the ground. A lot of real estate selection. Not prepared to give guidance on those yet. But we will be back talking to you in the next few weeks with the first quarter.
Russell Stanley : Okay. Great. That’s helpful. And just coming back to your dispensary plans and specific to Florida, can you share some color I guess, just how many locations Florida might account for by the end of the year?
Ben Kovler : Yes, I think we are comfortable saying high-single-digits in Florida, before the end of the year. We signed leases in mid to teens and we are active on many of the sites. But as you know, permitting and approvals sometimes take a little longer than expected. So we are comfortable in the five to ten Florida stores in 2019. 
Russell Stanley : Great. And just one last question for me. You highlighted 2019 as an execution year and you always look out a lots of bolster juggle in different markets. So, from this point out, looking at M&A what are your thoughts here? Are you happy with the markets that you have or are there still some other markets that you’d like to add on?
Ben Kovler : Yes, we love the markets we are in. We have executed throughout 2018 adding several different markets and as we look at the states we are in, there is no must have that we are not operating in. From the M&A environment, we have great deal flow. We look at everything but everything goes through either lens, the shareholder lens. We are trying to create value of the deals we do. So we love the deals we have. We are looking at a lot, watching everything. But really excited to scale within our markets and frankly the M&A within the markets can sometimes create more value for shareholders than new markets from where we stand now. 
Russell Stanley : Great. That’s helpful color. Thanks very much guys. 
Ben Kovler : Thanks, Russ.
Operator: Your next question comes from Graeme Kreidler from Eight Capital. 
Graeme Kreidler : Yes, hi. Good afternoon guys and thanks for taking my questions here. My first one is, looking at the recent acquisitions and license wins in the retail and cultivation expansion you’ve outlined here. Are you disclosing a CapEx budget for the year? And is there potential to see sales leaseback transactions for GTI and in your future as we see more and more as those undertake those?
Anthony Georgiadis: So, to the first question, this is Anthony here. So, we are not dispersing kind of CapEx projections for the year. We did get off to a solid start this year with a lot of CapEx happening in late 2018. Then obviously we got a lot of build outs to do in 2019. I’ll let Ben kind of address the – your other questions.
Ben Kovler : Is that on sale leaseback, is that what you said, Graeme?
Graeme Kreidler : Correct, yes.
Ben Kovler : Yes, I mean, to us, it’s really – we are pretty obsessed with the cost of capital for shareholders and looking at that through that sort of lens. And so, we’re out there figuring out how to drive down the cost of capital for shareholders and whether the sale leaseback is most attractive option or using the balance sheet, particularly as the business hits its inflection point, we think there is attractive ways to do that. So, we are not pending in a massive REIT announcement or anything like that. We are evaluating every opportunity as it comes. Nothing is off the table that makes sense. But I think we can get very nice cost of capital for our shareholders to become pretty accretive. 
Graeme Kreidler : Okay. Thanks and to shift gears here. You mentioned having 80% retail distribution. I am just wondering, have you set any internal target of what you want that to be over the longer term? And I am thinking, as you continue to push into some more competitive markets like Nevada, where that number will go?
Ben Kovler : On paper we won a 100% retail distribution. That’s what the sales team’s goals are. Each market has its own nuance. We are driven by how much supply we have. So what’s diluting that number basically down to 80 from the high 90s is Massachusetts where we have deep good relationships with several retailers and on the product to service all – every store in the state. So we are driven by distribution in doors and we are being selective in certain markets on where is the optimal place for our brands and where the relationship makes the most sense. 
Graeme Kreidler : Okay. Thanks and then, the last one for me here. Are you guys exploring a CBD-specific strategy, perhaps a product that could go into a big box retail? What are the company’s thoughts on that opportunity there?
Ben Kovler : Yes, within the CBD opportunity, it’s incredibly tremendous. In the last few months it’s become highly competitive with the passing of the farm build and that makes us really double down being focused with a differentiated strategy in the unique channels to create unique products for consumers and so as we talked about in the prepared remarks the initial launch with being a Beboe therapies which will be a CBD product line and that will start direct-to-consumer and in Barneys and over time it’s the expanded distribution. We think that’s really just our initial step as we continue to explore that. 
Graeme Kreidler : Have you had any exploratory talks with any big box retailers at this point?
Ben Kovler : The phone rings a lot. We would like to talk to everybody who like to learn as much as we can of how that’s going on. 
Graeme Kreidler : Okay. Understood, that’s it for me. Thank you. 
Ben Kovler : Thank you. 
Operator: Your next question comes from Brett Hundley from Seaport Global.
Brett Hundley: Hey, good afternoon guys. Thanks for the questions. I just wanted to go back and spend some more time talking about your wholesale business at a high level. And this is a tougher segment for us to – I should say, it’s a tougher segment to model and some guidance or broad rails would help me get more dangerous on 2019 or 2020 if you guys can just talk about state development some states that are ahead of others or at target revenue size, percentage of mix. Are you willing to give us any additional guard rails on that at a high level?
Anthony Georgiadis: So, we can provide a little bit, but probably not that kind of detail that you are looking for. I’ll just kind of fire off a few and then the other specific markets you want us to let us know. On the North Illinois, obviously very bullish medical market converting to reps here in the near term. Patient count on the medical side, Ben just kind of alluded to is really started to ramp up. We are watching that closely. Pennsylvania, I mean, look what’s happened there in such a short period of time. We’ve got that patient count continues to expand and we’ve got a large CapEx project that we are just now finishing the kind of service that market demand. In New Jersey, we can’t get our wholesale facility operational fasten up. It’s currently underserved. In Maryland, what we’ve seen steady growth there. We are building out an R&D facility and also adding a in-house cultivation to kind of fill out our vertically integrated license. In Florida we are expanding capacity three-fold just given the growth in that specific market. And then in Massachusetts we are adding capacity as well. We are essentially doubling here in the next four months and then continue to kind of watch that market closely as it develops. I mean, so on the wholesale side of the business right now demand of seed supply. And so we are working hard to kind of build up our wholesale capacity to service those needs. 
Brett Hundley: I appreciate the comments. I actually wanted to ask you about the manufactured products R&D hub, I think you just mentioned in Maryland. Can you give us a little bit more color on this and maybe as it relates to timing and how you guys plan to leverage this asset?
Ben Kovler : Sure, so we are obviously very excited about the completion of that facility. We should – that facility should be completed in the next 30 to 45 days. We think we had a stellar team there. We effectively under Greg Flickinger have really started to standardize kind of all of our production across all the products and essentially what our plan is, is to take all the developments is on the East Coast to run it through that facility in that team, so that we can operationalize each one of our products in a way so that we can put these consistent products across the entire fleet. What you also see there is our ability – the ability to extract in ways that we are not currently not extracting. So the R&D that you will see coming out of that facility should be pretty exciting and we are – we can’t wait to really get it up and running.
Brett Hundley: Wonderful. And then just last question from me is G&A. It popped a little bit more than I thought it would. I mean, I certainly understand why, but should we see the G&A line and share-based comp ease in Q1?
Anthony Georgiadis: Yes, so, I alluded to it in my prepared comments but effectively, yes, stock-based compensation expense was $12.6 million in the quarter and about half of that was really a catch-up from improved RTO activities. And so, really kind of a stock-based compensation as we experienced in Q4 was essentially half of that $12.6 million. That number, we’ll see how quickly we kind of onboard new team members in terms how that number shakes out and we are going to have to continue to kind of invest in infrastructure license business really kind of scales. But I mean, what, there is one thing we are focused on is every single penny. And so our goal as a management team is to keep those admin expenses down. So we can get the operating leverage we expect to see out of the business as the revenue ramps. 
Brett Hundley: Great. Thanks so much. 
Operator: [Operator Instructions] The next question comes from Jesse Pytlak from Cormark. 
Jesse Pytlak: Hey guys. Most of my questions have really been asked. So I just have one quick one for you. During the prepared commentary, obviously, you gave a good overview of all licensing wins from the past year and congratulations on all those. I am just kind of curious, do you have any outstanding license applications right now? And if so, in what states?
Anthony Georgiadis: Sure. We have a few. [Indiscernible] a few applications outstanding in California that we are waiting here from, [Indiscernible] and in addition, we have already started the work as it relates to Missouri. We are watching that market closely and expect to be applying there. 
Jesse Pytlak: All right. Great. Thank you. 
Operator: And that was our last question at this time. I will turn the call back over to the presenters. 
Ben Kovler: Thanks everybody for dialing in. It’s great to talk about the progress for the last year and we will be back in about five or six weeks to talk about the first quarter. Look forward to talking to you then. Thank you. 
Operator: This concludes today’s conference call. You may now disconnect.